Operator: Good morning, everyone. I would like to welcome all of you to Credicorp Ltd Third Quarter 2020 Conference Call. We now have all of our speakers in conference. [Operator Instructions] With us today is Mr. Walter Bayly, Chief Executive Officer; Mr. Gianfranco Ferrari, Deputy Chief Executive Officer; Mr. Reynaldo Llosa, Chief Risk Officer; and Mr. Cesar Rios, Chief Financial Officer. Now it is my pleasure to turn the conference over to Credicorp's Chief Financial Officer, Mr. Cesar Rios. Mr. Rios, you may begin.
Cesar Rios: Thank you. Good morning, and welcome to Credicorp's conference call on our earnings results for the third quarter of 2020. Since our previous conference call, the sanity situation in Peru has improved considerably, and the economy continues to rapidly recover. In fact, the evolution of both scenario has exceeded expectations. Further, our weekly death tolls have registered significant improvement in recent months. Nevertheless, we remain vigilant to track an eventual second wave of COVID-19. In parallel, the Peruvian economy experienced V-shaped recovery throughout the third quarter of 2020. The economics has been encouraging over the past few months. According to the latest official data, economic activity in August was only [10%] below the figure recorded for the same time last year. This compares favorably with the minus 40% registered for the year-on-year comparison in April. This V-shaped recovery has also been observed for several economic indicators. As you can see in the charts, real estate transaction, cement dispatches and vehicle sales has recovered significantly in recent markets. Reactivation is also evident in labor market data, including payrolls through BCP. Next slide, please. Although Peru GDP posted its steepest decline in the second quarter of 2020, it is rapidly regaining territory in LatAm. Moreover, market consensus has gradually improved its expectations for the Peru GDP growth in 2021. Peru is expected to lead economic recovery in LatAm towards 2021 as we leverage a strong macroeconomic fundamentals, high commodity prices and broad government stimulus packages. In our previous conference call, we expect the GDP to drop between 11% and 15% in 2020, and that the rebound in 2021 will situate between 6% and 10%. Our list of latest estimate suggests that GDP will contract around 12.5% in 2020, and will rebound between 9% and 12% in 2021. It is important to note that the series of elections, referendums and constitutional changes are underway in the countries in which Credicorp operates. In Bolivia, Luis Arce from Evo Morales' party won the general election and will take office on November 8. In Chile, 78% of the population voted in favor of rising a new constitution. Next slide, please. The positive trend seen for economic data is mirrored in the evolution of data for the financial system. Transactions with debit cards of BCP has exceeded pre-COVID-19 levels. Nonetheless, credit card transactions are recovering at a slower pace. During the third quarter, Reactiva Peru program continued to contribute to loan growth systemwide. According to data from the Central Bank, loan growth stood at 14.1% year-over-year at a constant exchange rate supported by the effect of Reactiva loans. If we exclude the Reactiva loans effects, total loans declined 2% year-over-year. It is important to remember that Reactiva loans targets businesses of different sizes. After the first phase of Reactiva program was rolled out for PEN 30 million, a second tranche option with an additional PEN 25.3 billion. Disbursements of these second phase were primary for the small micro and medium size businesses. We would like to mention several economic policy measures and regulatory actions that are in effect or under discussion. First, there has been further debate on additional economic stimulus. According to its last monthly policies statement, the Central Bank stands ready to expand the liquidity injections to a range of instruments. Second, Congress is currently discussing initiatives in several key areas. A proposal has been made by a special commission that contemplates a complete overhaul of the Peruvian pension fund system. If this deal becomes law, it could have a material impact in Prima. Given the scope of complexity of the measures, the commission has requested additional time for analysis. Third, early this week, a motion was approved to impeach the President. The President is expected to present its legal defense on Monday, November 9. Fourth, a number of bills on pension fund withdraws has been in play since the first quarter. On November 2, another deal was passed giving pensioners the right to make withdrawals again in their funds. Fifth, a second program of monetary transfers begun in October. These instruments, which are known as universal bonds constituent direct monetary transfer for the government to mitigate the impact of the debt. Sixth, the government recently approved a payroll subsidy program, which from the private sector that fulfill the specific requirements can access this facility. The program aims to bolster a recovery in the formal employed. Lastly, the government has rolled out a COVID-19 guarantee program, which is directed at individuals and SMEs. Under this initiative, the bank can offer reduced insurance rates in exchange for additional government loan coverage for very specific segments of clients. We will continue to closely monitor developments on the economic policy and regulatory fronts to evaluate the impact on Credicorp's operations. Next slide, please. At Credicorp, we also see clear signs of reactivation. The reprogrammed portfolio has stabilized, and there has been an uptick in demand for financial products in the individual segment. Additionally, the pandemic has accelerated client migration to digital channels, which are funding a large portion of the upswing in transactions. Over the past few months, we have worked to support our clients as they adjust to new dynamics. We have actively offered debt reprogramming facilities for our clients to bolster the recovery. Today, the reprogrammed portfolio account for 17.1% of Credicorp's total loans and 11% of Credicorp's total loans corresponding to the retail reprogrammed portfolio in Peru. The new COVID-19 guarantee program targets mainly a subset of this portfolio. To be eligible, loans are subject to term and loan amount caps and the facility is available solely to clients that have received no other government facilities. With this limitation, we do not expect the impact to be highly significant, but we have continued to monitor our client needs to respond quickly to changes. September marked a turning point in loan origination and sales of insurance for retail and microfinance loans in October -- trends have improved. Our clients' adoption of digital channels, which has -- which was discussed during the Investor Day presentation in our transformation strategy, continues to gain considerable traction. All of these helped Credicorp advance in its goal to foster a more inclusive economy. Next slide, please. Going on to our third quarter financial highlights results, shows that the worst is behind us and Credicorp is on the road for recovery. It is important to note that there were several nonrecurring events this quarter. A summary of the results shows in a quarter-over-year analysis, the loan portfolio and deposit base grew more than 21% and 27% in quarter-end balance introspectively, driven mainly by loans from the government relief programs. After isolating the effect of these programs, Credicorp's structural loan portfolio fell in quarter-end balances. Net interest income resumed growth and increased 10.2% quarter-over-quarter, recovering from 0 interest rate loan impairment. An analysis of the year-over-year evolution of adjusted interest income shows that adjusted interest income decreased 8.3%, driven by lower interest rate and a contraction in the structural loan partially offset by active investment portfolio management. While adjusted interest expenses fell 19.3% due to funding and structure optimization. In this context, adjusted net interest income contracted 4.3% and NIM situated at 4.05%. Fee income increased 54% quarter-over-quarter, in line with economic regulation, an increase in transactional activity and the expiration of fee waivers, insurance and the write-off results were negative, driven mainly by an increase in claims for mortality related to COVID-19 in the life business which was partially offset by lower claims in the property and casualty business. The cost of risk improved this quarter and situated at 3.84%. Forward-looking provision expenses fell compared to the previous quarter. This reflects an upward revision in the macroeconomic outlook and the fact that the probability of default has fallen in most segments, driven by improvements in client behavior. This quarter was marked by several nonrecurring charges we will explain throughout the presentation for a total of PEN 185 million after taxes. In this context, Credicorp reported PEN 105 million in net income which represents a return of equity of 1.8%. If we isolate nonrecurring charges, adjusted net income this quarter was PEN 289 million and adjusted ROE 4.9%. I will now explain the results of our main operating units. Next slide, please. I will start by explaining BCP's stand-alone quarterly results. On a quarter-over-quarter basis, loan growth was driven mainly by the second tranche of the Reactiva program. Loans through this phase were disbursed primarily in the SME business and SME-Pyme segments. In this scenario, the total loan portfolio in both SME segments grew 34% while the total loan portfolio of BCP grew 4.5%. If we exclude Reactiva, BCP's structural portfolio contracted 4.9% this quarter, mainly driven by wholesale banking, where clients would pay liquidity facilities disbursed at the beginning of the crisis. Although, the quarterly evolution of the structural loan portfolio in average daily balance is contracted, it is important to note that loan origination in retail banking is gaining traction and is expected to reach pre-pandemic levels by year-end. The total loan and the structural loan portfolio posted 21.4% and 1.9% growth, respectively, in average daily balances year-over-year. BCP's funding structure have improved through active management. In the third quarter of 2020, total deposits grew 7% quarter-over-quarter mainly driven by noninterest-bearing deposits and saving deposits, which increased 11% and 8%, respectively. In the year-over-year evolution, total deposits grew 30%. The year-over-year growth in deposits was led by noninterest-bearing demand deposits and saving deposits, which expanded 66% and 38%, respectively. In this context, BCP has been able to repay other sources of funding such as due to banks, repos and senior bonds, which matured this quarter. Additionally, BCP executed a liability management transaction this quarter to extend subordinated bonds maturing in 2026 and 2027 at rates of 6.875% and 6.125%, respectively, for an $850 million subordinated bonds and 3.125% that matures in 2030 and is callable at 2025. Next slide, please. Now I will comment on the evolution of payment behavior in retail banking at BCP and discuss the reprogrammed portfolio. In the third quarter, retail clients at BCP registered an improvement in the payment behavior, hand-in-hand with the economic reactivation. On-time payment on structural retail loans due reached 94% at the end of September, improving from 72% in June. An analysis of payments performance shows that on-time payments on the structural retail loans due are different by subsegments. In the case of SMEs, the payment ratio for businesses that benefited from Reactiva loans was situated by 94% versus 88% for non-beneficiaries. In the case of individuals, the payment ratio is higher for BCP payroll clients who registered an on-time payment rate of 97% compared to 91% for non-payroll clients. By the end of September, 71% of the structural retail portfolio reported net current reprogramming facility. During the same month, BCP's reprogrammed retail portfolio situated at 23%, which is partly below the figure of 58% of registered during the first wave of facilities. An analysis of the retail portfolio maturity profile reveals that high uncertainty portfolio is comprised of clients that are still within the grace period and have received at least 1 credit facility, all those that have overdue installments. Currently, 18% of BCP's structural retail portfolio falls within this category. As loans come due during the fourth quarter of this year, we will have more information to assess the performance and risk of these loans. Next slide, please. The improvement in macroeconomic expectations and buying behaviors indicators led provision expenses to drop this quarter. Nonetheless, asset quality began to deteriorate as grace periods expire and some clients were unable to service their debts. BCP's provision expenses decreased quarter-over-quarter due to improvement in expectations for GDP growth for 2021 and 2022 and fine-tuning of risk models and updating of client information to create a better picture of client situations. Provision expenses for the individual segment registered the highest decrease after significant provisioning in the second quarter this year. This quarter, provision expenses were mainly concentrated in SME-Pyme segments in the retail portfolio after delinquency levels rose among clients that benefited from more than 1 facility. Finally, wholesale banking provision expenses increased to cover a small number of clients in the energy and airline sectors. In this scenario, the structural cost of risk situated at 3.22% for the quarter and 5.33% year-to-date. Deterioration in structural loans were mainly concentrated in the consumer, credit cards and SME-Pyme segments. Grace periods in the individual and SME segment will expire on average in October and December, respectively. As such, we expect overdue loans to increase in the individuals portfolio next quarter particularly in the credit card and consumer segments. While overdue loans in the SME-Pyme are expected to rise in the first quarter of 2021. Credit cards provision level and asset quality this quarter led to NPL coverage ratio to hit a record high of 157%. Finally, BCP's accumulated provisions represent 7.8% of the total structural portfolio. Next slide, please, going onto BCP's results. Net interest income initiated recovery and grew [10.2%] quarter-over-quarter, recovering from zero-interest rate loan impairment. An analysis of the adjusted net interest income evolution year-over-year shows: first, adjusted interest income decreased 8.2% due to a drop in market rates, which was partially offset by active investment portfolio management; and second, adjusted expenses fell 27% due to a drop in interest rate and funding optimization. In this context, adjusted net interest income fall 0.5% year-over-year. In contrast, NIM and structural NIM decreased due to several factors. First, BCP's structural NIM decreased 23 basis points quarter-over-quarter. The negative impact of lower interest rate was partially offset by active investment portfolio management, which increased term transformation while maintaining short-term liquidity positions and the optimization of the funding structure. Second, the loan mix was marked by a significant increase of Reactiva loans and a slight contraction in structural loans. And third, the decrease of 19 basis points in NIM due to nonrecurring expenses related to a liability management transaction conducted in July. Risk-adjusted NIM situated at 1.6% this quarter. In terms of nonfinancial income, core items increased 38% quarter-over-quarter, hand-in-hand with economic reactivation. The 50% quarter-over-quarter growth posted in Finco was driven by an upswing in transactions and an active -- reactivation fee waiver last quarter, in line with our client support plan. We expect that this -- our trend to continue in coming months. Growth in noncore items were driven mainly by expansion in net gains and securities. Next slide, please. Lastly, the efficiency rate of BCP improved quarter-over-quarter. Several short-term cost control measures has been applied, including reducing nonessential expenses and variable compensation. After adjusting operating income for the nonrecurring charges registered in the second and third quarter this year, the adjusted efficiency ratio improved from 39.9% and to 38.9% quarter-over-quarter. As explained during our Investor Day, BCP's transformation strategy is advancing, and we maintain our aspiration of becoming the most efficient bank in Latin America. In both top line, BCP generated PEN 421 million profit contribution this quarter. Next slide, please. With regard to microfinance. Let me explain the dynamics of Mibanco's loan portfolio and deposit rate this quarter. Loan growth at Mibanco was attributable to government relief programs, mainly Reactiva. The second phase of Reactiva is the qualifying requirements for micro and small business. And as such, more of Mibanco clients can tap this facility. By the end of September, Mibanco has disbursed more than PEN 2.3 billion year-to-date under the Reactiva and FAE programs. The aforementioned led loans to grow 15.1% year-over-year measured in average daily balances. If we exclude government loans, the structural portfolio at Mibanco fell 3.4% year-over-year. In September, loan origination in Mibanco's structural portfolio began to recover, bolstered by new campaigns to support clients that are still within our risk appetite. Regarding Mibanco's funding structure, demand and saving deposits grew 26% quarter-over-quarter and 37% year-over-year. This evolution, coupled with an increase in funding from the Central Bank to finance disbursement of government loans led the funding cost to fall 56 basis points quarter-over-quarter and 98 basis points year-over-year. Next slide, please. Client payments at Mibanco are trending upwards, and the high uncertainty portfolio has considerably diminished. This quarter, Mibanco show an increase in on-time payments and a drop in the facilities needed by its clients. By the end of September, the breakdown of our structural portfolio was as follows: 61% of loans were reprogrammed, and up-to-date; 35% were non-reprogrammed up-to-date loans, and 4 points compared to the last quarter; and finally, 4% were overdue loans. As mentioned previously, the high uncertainty portfolio is comprised of clients that are still within the grace period and have received at least 1 credit facility, all those that have a reduced staff. This portfolio has evolved positively at Mibanco as on-time payments increase. Next slide, please. The COVID-19 environment continues to impact Mibanco's provision expenses. Growth in provisions was attributable from the provision of the probability of default rate after client risk assessments were updated. This was partially offset by an improvement in the macroeconomic estimates of our forward-looking model. Expansion in provision expenses coupled with a contraction in structural loan portfolio led the structural cost of risk to situate at 6.1% on annualized basis. In terms of portfolio quality, the structural NPL ratio rose to 9.3% in the third quarter. This was mainly attributable to an increase in refinancing for some clients that as of February 29, had less than 15 days overdue and delinquency among clients that did not use financial relief facilities. In this context, Mibanco's NPL coverage ratio increased and situated at 206.5%. Finally, Mibanco's accumulated provisions represented 19% of the total structural portfolio this quarter. Next slide, please. Now let's look at Mibanco's performance. Net interest income and NIM were negatively impacted by the loan mix where low-margin government loss rather than structural loans drove growth. This negative effect was accentuated by accrued interest reversals after grace periods expire and some clients registered delinquency and a decrease in interest rates. If we exclude the effect of government programs, Mibanco's structural NIM is situated at 12%. This quarter, nonfinancial income began to recover, driven by an uptick in bancassurance, policies and fees. Operating expenses decreased 7.3% year-over-year, which was attributable to cost-saving programs. Nonetheless, income decreased at a faster pace, leading to a deterioration in efficiency. Going forward, additional initiatives to improve efficiency include optimization, optimizing the network, centralizing processes and improving the productivity of relationship managers through technology. In the bottom line, Mibanco generated a loss this quarter which was mainly due to the contraction in net interest income and an increase in provision expenses. Next slide, please. Now I will comment on the results of the insurance business. This quarter, Grupo Pacifico's net income was negative due to higher net gains in IBNR insured but not reported provisions in the life business, especially for the credit life, and disability and survivorship products which were heavily impacted by the increase in mortality due to COVID-19. The property and casualty business results improved year-over-year due to a decrease in net claims, mainly in the car business due to mobility restrictions during the pandemic. In the quarter-over-quarter analysis, net premiums in the property and casualty business registered a recovery due to new sales and renewals, mainly in the car and medical assistance business. Results in the health insurance business improved year-over-year, driven by a drop in net claims after the demand for out-of-fashion services spurred during the pandemic. The health provider business registered a decrease in the demand for services due to occupancy limits at clinics and the fact that clients prefer to delay appointments in the COVID-19 context. Pacifico regulatory capital coverage ratio increased from 1.3% at December 2019 to 1.33% -- sorry, 1.33 as of September 2020, which was attributable to the earnings capitalization. Next slide, please. Regarding the pension fund business, assets under management remained relatively stable quarter-over-quarter. Fund withdrawals and the government-mandated facilities were rarely offset by the combined effect of an increase in monthly contributions and growth in fund profitability. It is important to note that a bill passed on November 2 which allows additional withdrawals will impact assets under management for an estimated PEN 3 billion. Net income decreased quarter-over-quarter due to a decline in the profitability of the reserved funds, in line with the decrease in market profitability and nonrecurring expenses related to fee and the withdrawal facilities. This was partially offset by an increase in fees after fee extension was lifted this quarter. In the year-over-year analysis, total fees decreased because given that a significant number of individuals in the affiliate base lost their jobs during the pandemic. Finally, a congressional commission is still evaluating comprehensive pension system reform. It is very difficult to predict how this will impact our business. Next slide, please. Regarding our investment banking and wealth management business, total assets under management posted an increase of 7.8% quarter-over-quarter, which has fully breached the gap produced by COVID-19 impact in assets under management in the first quarter of the year. Regarding profit contribution, recurring income grew 13% quarter-over-quarter. This increase was mainly driven by a recovery in our corporate finance business in line with economic reactivation, and the country's progress within the pipeline were executed in the third quarter including relevant structural loans and government changes. Regarding nonrecurring results, there were 2 charges this quarter. First, there was a mark-to-market reduction in our proprietary investment at AFP. This led to unrealized losses of PEN 23 million this quarter versus significant unrealized gains last quarter. Second, there was a nonrecurring provision expense for a legal contingency at AFP for the Madoff case, which offset the year-to-date unrealized gains on the aforementioned proprietary investments. Next slide, please. Now I will summarize Credicorp's consolidated performance. Credicorp's loan portfolio grew 19.6% year-over-year in average daily balances and 21.3% in quarter-end balances, bolstered by loans under government programs. If we isolate the effect of government program loans, the structural loan portfolio grew 1.8% year-over-year on average daily balances and fell 0.3% in quarter-end balances. An analysis of the balance sheet structure shows that Credicorp's interest-earning assets increased 28.5% year-over-year, driven by both the loan portfolio and the investment portfolio. In the investment portfolio, we have optimized excess liquidity returns while managing interest rate risk and maintaining a solid short-term liquidity buffer. Credicorp also optimized its funding structure by optimizing the deposit mix, paying off other funding sources and executing a liability management strategy to optimize the maturity profile and reduce the cost of BCP's subordinated bonds. Consequently, Credicorp's structural funding cost fell 40 basis points year-to-date to 2.0%. Regarding noninterest-earning assets, there was an adjustment to Bancompartir's goodwill this quarter to PEN 64 million. It is important to note that we acquired this business prior to the crisis. And as such, the current estimated value has varied from our initial projections. Nonetheless, we still see significant potential value down the road, which can be leveraged through credit risk management and an improvement in efficiency and productivity. Next slide, please. Now to summarize the evolution of the main indicators. In line with improvement in payments and economic reactivation, provision expenses dropped quarter-over-quarter after achieving a peak in the second quarter. We expect this downward trend to continue. Asset quality deteriorated as grace periods expire and sometimes remain unable to service the debts. Nonetheless, our coverage ratio increased year-over-year situated at 169.9%. Net interest income increased 10.2% quarter-over-quarter. The analysis of adjusted net interest income on a year-over-year basis indicates that adjusted interest income decreased 8.3%, while adjusted interest expense is fell 19.3%. Consequently, adjusted net interest income contracted 4.3%. Credicorp's net interest margin this quarter situated at 4.05%. NIM was negatively impacted by a decrease in the structural NIM, the government programs structural loan mix and finally, non-recurring charges related to charges related to bond exchange transaction. The structural NIM was situated at 4.46% for the quarter and 4.93% year-to-date. Finally, risk-adjusted NIM and structural risk-adjusted NIM situated at 1.6% and 1.87%, respectively. Next slide, please. Nonfinancial income expanded 8.6% quarter-over-quarter, driven mainly by -- for increase -- 54% increase in fee income due to significant growth in transactional activity in BCP. Additionally, FX transactions grew 3.8% quarter-over-quarter. Growth in these core items was partially offset by a contraction in the net gain on securities related to a mark-to-market reduction in our proprietary investment for approximately 22%, PEN 1 million in the trading portfolio in AFP and an impairment charge of PEN 23 million after a downward adjustment was made to the value of a private equity investment. In terms of efficiency, the cost-to-income ratio situated at 45.9% year-to-date. Adjusted income for nonrecurring events, the adjusted efficiency ratio situated at 44.5% year-to-date. The year-over-year deterioration of 160 basis points was mainly driven by microfinance. And about half of this drop was attributable to the consolidation of Bancompartir. The short-term cost control measures have included reducing nonessential expenses, variable compensation and the footprint of face-to-face channels. These are challenging the limits of our operating model to optimize the physical distribution network, support functions, organization and IT architecture. Next slide, please. At the profitability levels, credit costs, adjusted net income and adjusted ROE situated at PEN 737 million at 12% points, respectively, this quarter. This quarter, several nonrecurring charges were reported for a total of PEN 185 million after taxes. If we exclude nonrecurring charges, our adjusted net income for this quarter was PEN 289 million, while the adjusted return of average equity was situated at 4.9%. Common equity Tier 1 levels for both BCP and Mibanco remain above our internal targets situated at 11.5% and 16.5%, respectively. As mentioned in our last conference call, our Common Equity Tier 1 ratios are calculated under the Peruvian GAAP accounting and as such, use net income figures. In the past, it was not necessary to discuss this issue because local and IFRS net income figures have always been very similar. But given that temporary differences are relevant in the current environment, we want to draw your attention to this point. Now please look at our outlook. Next slide, please. In this environment, we can offer a clearer picture of the medium term. We expect the real GDP to grow between 9% and 12% in 2021. In terms of loan origination, our commercial activity is accelerating. By December of this year, we expect to return to pre-pandemic levels in the individual segments and achieve 75% to 85% of pre-pandemic levels in the SME and Microfinance segments. Regarding NIM, the negative impact of the government programs of NIM to level up while structural NIM will benefit from a decrease in the funding costs and active management of the investment portfolio. This and property and casualty premium should continue to increase, but will be partially offset by life claims. Provision expenses are expected to continue to follow a downward trend next quarter until 2021. We will continue to control expenses in 2020 and are fine-tuning BCP's operating models to determine the structural measures for the medium-term. In Microfinance, measures are underway to optimize the branch network and improve the productivity of the sales force. Finally, we expect our ROE to return to the high teens by the second semester of 2022. With these comments, I would like to open the Q&A, please.
Operator: [Operator Instructions] Our first question will come from Ernesto Gabilondo, Bank of America.
Ernesto Gabilondo: My first question is on provision charges. So we saw that they started to normalize to PEN 1.3 billion in the quarter. So is this a level we should continue to see during the last quarter? And then my second question is on your reprogrammed portfolio. As you mentioned in your presentation, retail banking reprogrammed portfolio is showing that 6% are value loans, while 12% fell in the grace period. I also noticed that you are presenting the same breakdown for individual, SME-Pyme and SME business. So by any chance if you look at the number of the reprogrammed portfolio at a consolidated basis indicating how much is overdue and how much will be resuming payments in the next months? Considering the overdue loans in each segment and the portfolio that will resume payments, do you think that the presented provision created during the first half of the year will be enough to cover that portfolio? I just want to know if you have already created enough provisions, if you have achieved provisions or if they seem okay. And then my final question is on insurance revenues, which were affected by higher claims in life insurance due to the COVID-19. So I would like to hear your expectations for the insurance revenues in the next quarters.
Reynaldo Llosa: Thank you, Ernesto. Regarding the questions on provisions, as we expected, we've seen quite an improvement in the levels of provisions during this third quarter as compared to second quarter. We expected to have a number closer to what we did in the first quarter. And the cost difference, both in the macro environment as well as the performance of our clients, will make us feel quite positive towards the level of provision for next quarter. We don't have a precise number today, but we see that, that positive trend continue in the same directions. In terms of the reprogrammed portfolio, this is a long journey, and we've seen -- and we've been helping our clients to reprogram their loans. And at a gradual pace, we've seen our clients both at SME and on individual clients starting to pay their loans at a better level than we expected initially. So in terms of, if we've done enough provisions, I mean, we are in the right trend towards provisioning what we need to do and that positive trend is expected to continue, as I mentioned during the next quarter and especially when during 2021.
Operator: Our next question will come from Jorge Kuri, Morgan Stanley.
Jorge Kuri: Two questions, please. The first one is on your operating expenses. Your outlook slide said that operating model is being challenged to conduct structural medium-term measures. What exactly does that mean in terms of expense growth for 2021 and 2022? Your expense would have been, over the last 2 years, of around 6% to 7%. If you may end up with around, I'm guessing, 7% to 8%, does that mean that we're not going to see a slowdown in that level of growth for 2021 or 2022? And especially given the context of the very weak revenue growth, do you think that there's maybe an opportunity for you to try to offset that through being more aggressive in cutting expenses, particularly next year?
Cesar Rios: What we aim is to have income growing at a faster pace than expenses. And these structural measures that we have mentioned are going to have a gradual impact in 2021 and more visible in 2022. Short-term and continuous improvement measures has been taken in the last years at the same time that we have spent more heavily in the transformation. But these additional more structural measures are going to take some time to mature.
Jorge Kuri: So just to lay it down, in terms of expense growth, does this mean that your expenses will grow similar to the last 2 years, 7%, 8% or more than that?
Cesar Rios: We expect to be in this range, probably a little bit lower, in line with the increased level of activity in the transactional activity and the offering of new and different products. What we try to manage more than the line by itself is the ratio between fee income and expense growth.
Jorge Kuri: Got it. My second question is on provisions. And so your -- you built a very sensible, I think, amount of excess provisions given the NPL outlook and overall contraction in economic activity. And at this point, do you think it's possible to return to 1.5%, 1.6% cost of risk for the second half of 2021? I'm assuming you're still going to be with probably elevated cost of risk in the first half of the year, given that you're going to start to see a wave of NPLs from forbearance program rolling off. But again, given the significant amount of reserves that you have built, can we see that sort of like towards the second half of next year?
Cesar Rios: We are going to convert to, let's say, more normal level of provisions at the end of next year. But you also should consider that we gradually are changing the composition of the portfolio to a more retail one. So even with the same line-by-line, business-by-business level of provisions, the mix are going to conduct to a slightly higher structural cost of risk due to the relative weights of the business.
Jorge Kuri: And so we understand what you're saying. So that, say, 2018 and 2019, your cost of risk was 1.5%, 1.6%. Given the mix composition shift, what would be the equivalent cost of risk?
Cesar Rios: I would say a little bit more than that at the end of the next year. But it is going to be a gradual recovery, as Reynaldo mentioned. It's not an on-off effect. You have a significant impact in the second quarter of this year. And after that, a gradual improvement.
Jorge Kuri: So you think your cost of risk, say, 2022, which hopefully, knock on wood, is a normal year is around 2%. Is that kind of like the way I'm reading through the lines?
Cesar Rios: We expected that it's probably a little bit lower, yes.
Jorge Kuri: Sorry, I didn't hear that. Sorry, what?
Reynaldo Llosa: It will depend on how we -- go ahead, Mr. Rios, go ahead. Please proceed.
Cesar Rios: No. I was mentioned that this figure is probably in the upper bounds but for 2022.
Operator: Our next question comes from Thiago Batista, UBS.
Thiago Batista: Yes. I have 1 question on the margins. You already mentioned in the guidance that the government loans pressure your margin. So my question is, do you believe that when those programs end, the clients will be able to pay the same strata they used to pay before those government -- those programs. So will they trend to return to the normal level when all those programs are ended? And the second question is about Mibanco. When do we believe Mibanco should achieve the breakeven? And also, if you have any guess on when the profitability of Mibanco should return to the high teens?
Cesar Rios: Okay. First, regarding to the first question, I think when the government programs started to mature the second part of next year, you are going to have probably declines of clients. Clients, who have gone through the process, and they are starting to have normalized conditions. Clients that, even with this support has become insolvent or unable to continue in business. And probably a third category, the clients are going to need additional support probably in the form of longer-term facilities. And I think that the clients in all the categories are -- have understood that these are special conditions. And when the facilities mature, they need to pay market rate condition based in the performance size on credit risk. That's our belief. This is a very special condition with government coverage with special funding. I don't know if it helps you for the first question.
Thiago Batista: No, very clear. Very clear.
Cesar Rios: Okay. And for the second question, Mibanco is starting to recover also as we mentioned. The difference is that the government programs and the reprogramming started a little bit later after BCP. In fact, the government programs favor the Mibanco clients, mainly in the second wave. The first wave, there were very few clients who could apply to that. So the recovery is going to happen and it's little bit after the case of BCP. And next year, we are going to have a much more positive year, of course. But the delay is going to be -- the recovery is a little bit slightly delayed in the case of Mibanco for the reasons I already mentioned.
Operator: Our next question will come from Tito Labarta, Goldman Sachs.
Tito Labarta: First question, following up on your margin. I would have expected a bigger increase in your margin. Just if I remember last quarter, you had some frozen installments. That had about a 70 basis points impact, if I remember correctly. But your margin didn't really recover that much this quarter. Is that mostly because more Reactiva loans? Or just to understand the dynamics here. Maybe another way to think about it, if you exclude Reactiva, what would your margin have been without the Reactiva loans?
Cesar Rios: Actually, I think the margin has pan out as we expected, and we -- as we provide guidance. I will differentiate 2 different things. One is the NIM and another thing is the net interest margin as a figure, as a number. In terms of NIM, the figure is significantly diluted by the huge amount of Reactiva that has almost 0 margins or very low margins and was designed in -- as such because it was a relief program. This is one part of the equation. But thinking in the net interest margin, it has been impacted and is recovering and the dynamics were explained. You have a sudden shock of lower reference rate, more than 200 basis points were a significant part of the cure that has a severe impact in your short-term facilities and you have also some smaller portfolios in the case of -- slightly smaller in the case of BCP and a smaller portfolio in the case of Mibanco. So you have these impacts in the amount of margins. When we start to originate at a faster pace, a process that has already begun, we are starting to recover volumes with higher margins and the NIM is going to expand. The other impact that was positive this quarter was the reduction in interest expenses and the effect of this reduction is going to be carried out in the next quarters because a significant part of the process has already been done but throughout the semester. I don't know if this helps.
Tito Labarta: Yes. No, very helpful, sir. So then maybe leading to my second question. To get back to the high teens ROE that you expect by 2022, what's going to be the main driver of that? Is it -- are your margins normalizing? How dependent will that be on higher interest rates, on the Reactiva loans coming off your books? I know there's a lot of moving parts but then also provisions normalizing, maybe cost cutting, just to get a sense of what will it take to -- what do you think to get to that high teens ROE by 2022.
Cesar Rios: Yes. But I would like to emphasize that it's in the second half of 2022, not for the whole 2022. That's a relevant position. And the effects are going to be three-pronged, I would say. The markets are going to be recovering in line with the factors we have been discussing. The provisions are going to be much more normalized and more in line with the new portfolio composition. And we are starting to gain efficiencies due to the execution of several initiatives. It should be noted that the general profitability is impacted in BCP, Mibanco and in all banks of the world for the slower or lower interest rate. This impact is compensated by a number of measures but it makes a difference on our books. Our assumption is that the interest rates are going to be still lower in 2022 locally and internationally. So we expect to regain levels of profitability but with an underlying, less profitable basic margins in several business due to lower reference rates.
Tito Labarta: Great. That's helpful. So just to clarify on that last point, you can get back to the high teens ROE with interest rates where they are today. Is that correct or do you need interest rates to increase?
Cesar Rios: I think we can go with a lower interest rate, but applying these 3 kind of levels that I have mentioned, we see our portfolio composition higher efficiencies.
Operator: Our next question will come from Jason Mollin, Scotiabank.
Jason Mollin: You've addressed my questions on margins, provisions, costs. But maybe I can ask a general question on the outlook and the risk to that outlook of 9% to 12% real GDP growth and everything that follows on there. I mean, you've been seeing the reactivation. We've all seen it. It's been pretty impressive but from very low levels. What could derail this recovery? I guess, is it a second wave of COVID and lockdown? What are the risks to this outlook, I guess? If you could help frame that. And how is the group preparing for this kind of scenario, a negative scenario?
Cesar Rios: Okay. I think 1 significant risk, and I think not only for Credicorp, but globally, is a second wave, not only in terms of infections, but mortality that will lead to some kind of shutdowns, with severe impact in the business activity and the economic activity in general. This is one risk we are monitoring. One encouraging sign but we take very prudently is that already the level of infections in Peru are very high. Different studies conducted using different statistical methods suggest that the level of infection in Peru can be as high as 50%. So even if we have a second wave, probably the impact in total infections and mortality should be attenuated. But this is a significant risk. And the other potential risk is the changes in regulation. We'll have the elections next year. So far, it's not absolutely clear who is going to be the winner. We need probably much more time to have a clear picture. We don't expect significant changes but the risk is already there. The best protection for our business is to have a very strong balance sheet, solid capitalized business, prudent risk management and efficiency that allows us to operate even in less favorable environments and we are working in this direction.
Operator: Mr. Correa.
Alvaro Correa: Okay. Thank you. There was a question related with projections in insurance, and maybe it's important to note that Peru has been one of the countries with the highest infection or contagious rate of the world. And that fact has 2 sides. On one side, the high number of deaths, as you have known, had a direct impact in our life portfolio. We have an important portfolio in Peru. And it includes individual life, mortgage protection, insurance, credit life insurance, in general, for credit cards and small business owners and across all the social economic segments. But on the other side, with that high contagious rate, we expect to be reaching a growth of regular rates in a few months. For example, during July and August, we have the highest levels of deaths in our country, more than 2.5x against the others. And during October, the number of exits of deaths was similar and inclusive, lower than the number we had in March, the first month of the pandemic in Peru. So we expect this trend continues in the same direction. And for the net loss, we can see -- there is no reductions in the life loss rate. And in the P&C business, the situation has been the opposite, where the lower economic activity and important part of our clients working at home office decreased the claims frequency and reduced the loss rate.
Operator: Our next question will come from Geoffrey Elliott, Autonomous.
Geoffrey Elliott: Can you help us a little bit more on net interest income? When is that expected to start inflecting and moving up on a recurring basis? Is that -- is that going to happen soon or do we have to wait a little bit longer?
Cesar Rios: So I couldn't hear the first part of the question very clearly.
Geoffrey Elliott: The net interest income, when is that expected to start increasing again on a recurring basis once we've taken out the one-offs?
Cesar Rios: Actually, the process has begun in line with what we already explained. What's happening is that this is starting to gain traction, but at a lower base due to the reduction in reference rate.
Geoffrey Elliott: So just to be clear, so even though originations are going to be lower than they were pre-COVID, you still think that the 4Q recurring NII can be higher than the 3Q recurring NII?
Cesar Rios: Just because you start with a lower base of the case, at the level of origination that we are increasing the structural portfolio in BCP and in Mibanco. So it's starting from a lower base. I repeat this point, we are expecting to build up structural portfolio at this moment.
Operator: Our next question will come from Brian Flores at Citi.
Brian Flores: I want to know how are you thinking about structural NPLs going forward, particularly just second half of 2022.
Cesar Rios: Well, we'll probably see in the following quarters an increase in the NPL levels because actual problems in loans will appear in all segments, especially in SME and individual clients. But on the other side, we'll see an increase in the level of write-offs. Remember during the first half of the year, due to regulatory constraints, we didn't make the adequate levels of write-offs. So I mean on -- the net effect, because of the number of clients that were impacted, we'll see a shift to higher NPLs. But in general, it will be adequate levels of -- compared with what we are expecting today.
Brian Flores: And just as a quick follow-up, is there any particular segment of your portfolio concerning you based on the trends you are observing right now?
Cesar Rios: There are no surprises in this quarter. We don't expect further surprises in the following quarters. I mean we see constant trends on both the SME and credit card segments of our portfolio. But not important shifts towards what we've seen as of today.
Operator: Our next question will come from Carlos Gomez-Lopez, HSBC.
Carlos Gomez-Lopez: I wonder if you could comment about the legislative initiatives that could impose either lower fees or capital interest rates at the Peruvian banks. We know that a proposal was proposed at the committee level. Where, in your current standing, what do you think the chances are and the potential impact on your numbers? And a small follow-up, do you have an additional process for Madoff in AFP? Is that a one-off? Or are there any outstanding contingencies that we might still see in the future?
Gianfranco Ferrari : Regarding -- this is Gianfranco Ferrari. Regarding the first question, there are some, as you said, some initiatives at the commission levels in the Congress. It's too soon to tell if any of these initiatives may go into discussion to the Congress, and if so, if they're approved and if so, how to calculate an impact. Our vision is that what Peru need is the financial system in Peru is the small financial inclusion and any of these initiatives would generate financial exclusion, which is exactly the opposite impact. As I mentioned before, it's too soon to tell if any of these initiatives will become a law and if so, what the impact would be.
Carlos Gomez-Lopez: And on Madoff?
Walter Bayly: This is Walter, regarding Madoff, we have made a provision because there was a recent ruling by the Supreme Court that was not necessary in our favor. So we decided to make this provision and we think that this is the end of it.
Operator: Our next question will come from Piedad Alessandri, Credicorp Capital.
Piedad Alessandri: I want to know regarding corporate case was announced. If you could give us a bit more detail on the -- those cases you announced on the energy and the airline sector and did you see any segment behaving riskier?
Cesar Rios: As you probably know, we don't get into specific details in terms of the specific cases of our clients in the corporate world. Having said that, we can confirm you that we have established all the necessary provisions to cover the expected losses in those 2 cases. And we don't expect any new big cases in the future, in the near term.
Operator: Our next question will come from Andres Soto, Santander.
Andres Soto: My question is related to the deal that was approved 1 month ago regarding reprogramming and guarantees for retail loans, including SMEs. I understand, you guys already mentioned, you don't expect some material impact coming from that. By that, I understand that when you refer impact, you mean that on the balance, it will be a negative one considering that it reduces your net interest income versus the reduction that you will get via the guarantee in your cost of risk. So I would like to confirm that if that's the case that you're expecting that on the balance, that would be a negative one, even if it's a small one? And in the end, this will depend on what is the level of adoption or the enrollment that you guys take up in your client portfolio. Also curious what is the level of -- the rate of adoption that you are assuming, to expect that this is going to be marginal impact?
Cesar Rios: We expect to have, as we mentioned previously, a moderate impact. It's difficult to say exactly what because it depends on the level of adoption and the specific type of clients that are going to access the facility. But I would like to emphasize that you are going to capture the cost and benefits in different lines and probably in different moments in time. What do I mean? You are going to have an immediate reduction in margins and you are going to have a deferred benefit in cost of risk. I don't know if this helps.
Andres Soto: Yes, it does. It does. The question more broadly speaking was -- this is voluntary on the bank side, but obviously, there is a lot of pressure on the banks in general to provide facilities to the clients. So I'm just curious of any percent that you can give us in terms of enrollment of clients in this new program?
Cesar Rios: Yes. I think we are going to do something that is sensible for us, but good for our clients, something that's an additional facility that some clients are going to benefit from. And in balance, I think the net effect is going to be moderate.
Gianfranco Ferrari: Just to complement what Cesar just mentioned. Because of the amount that was assigned, we don't see -- so these are 2 programs, sir. Because the amount that was assigned, we don't see that this is going to be a massive program. What's assigned by the government, I mean, on one hand. On the other hand, we basically restructured all of our portfolio, all of our clients that needed a restructuring facility. So we don't see a large demand on our client. Having said that, we do -- we're going to work proactively in helping the clients that need it and obviously, trying to balance that with demand to other relatively smaller financial institutions that have not been as proactive as BCP in restructuring their clients' loans before.
Operator: Our next question will come from Yuri Fernandes, JPMorgan.
Yuri Fernandes: I have 2. The first one is a follow-up in the margins. I understood the message that you should kind of stabilize or even improve a little bit from the current levels. But I have some doubt here regarding first, the overdue loans have increased, as I said, right, like the nonaccrual loans only pay for the increase. In the next quarter, in pricing, it's probably in 2021, in the first quarter in 2021. And you also have a new government program that I understood maybe the incumbent can be super vocal in the program because, again, you have a lot of renegotiations already, the size of the guarantee is not that big. But should that should be a headwind on margins, right? So I just would like to confirm that, yes, margins should move slightly up from the current levels and that we are taking consideration through -- in all moving parts, the nonaccrual loans and also the renegotiated program. And my second question is regarding allowances. I understand the charge-offs are not there, right, charge-offs need to accelerate. But you are in Latin America, the bank is the biggest delta in allowances, right. Allowance has almost doubled versus 2019 on your balance sheet. You have, I don't know, PEN 4.6 billion, PEN 4.7 billion in higher allowances than you had last year. And so far, the data in reprogrammation like in the release -- I think in the second half, you're okay, right? We have a 94% collection in BCP, 84% collection in bank renegotiated loans are coming down from the fee. So the point is how do we discuss 2021 reversions of those provisions not only a lower cost of risk structurally, but I don't know, the bank, the kind of reverting those provisions at some point.
Cesar Rios: I take the first one regarding margins. Of course, in our calculations, we are considering the non-accrual of the delinquent loans. This is going to negatively impact the margins, but it's part of the assumptions that we have when we provide this guidance. The process is going to be gradual because what's happening at in terms of -- in accounting terms is that you accrue and when you have the actual default, you reverse the accrual and this diminished the income. So this is going to happen gradually at us as what we have seen happening in the last quarter. I think as part of the question, I don't know if you have another complementary question regarding NIM, sorry.
Yuri Fernandes: No, no. That's mix. I was just trying to confirm because I understood the mix shift, but I was not sure about the nonaccrual loans, but thank you for your consideration, yes, it's clear for me.
Reynaldo Llosa: Yes. Yes. And in terms of the levels of provisions for allowances for bad loans, as we have been mentioning throughout the call, I mean, the values have been positive, and the trends have been better than we expected, than we initially expected. Having said that, there's still at BCP, what we call 18% high uncertainty portfolio. These are clients that -- they haven't still started paying their debts yet. I mean, they are in their grace period. And in Mibanco, that number it starts around 43%. So I mean, the -- your question in regarding, if there's an opportunity for reversing provisions will depend on the performance of these high uncertainty portfolio in COVID situations.
Cesar Rios: And to add start to contribute to the answer of Reynaldo, for example, in the case of BCP in September, we have uncertain portfolio of around PEN 42 billion. Out of them, PEN 34 billion already had the obligation to make a payment during the month. For that reason, we talk about an uncertain portfolio because not every client has the obligation to pay due to the reprogramming process.
Operator: Our next question will come from Sergey Dubin, Harding Loevner.
Sergey Dubin: Yes, 2 questions from my side. The first one, just a clarification. You mentioned something about capital ratios calculated according to Peruvian standards versus capital ratios calculated to IFRS, I guess, or some other standards. So can you clarify exactly what the differences are and what's the impact on these ratios? What you're showing on the presentation in -- on Slide 30, are those calculated according to Peruvian, IFRS, what is it? What's the difference? What is the impact? That's the first question.
Cesar Rios: Okay. Okay. Okay. So, okay. The difference is that in normal times, the difference between incurred losses and forward-looking provisions is very small, so we don't make any difference. To give you an idea, in the case of BCP, at the end of September, the difference between local and international accounting in terms of provision is PEN 1.2 billion, out of PEN 7.7 billion. So in local accounting, you have lower provisions and you have a higher profit. And this impacts the level of capital. I can be probably an accurate, but the difference can be around 50, 60 basis points. In the case of Mibanco, the relative difference is slightly higher. The difference is 100 -- PEN 500 million out of PEN 1.8 billion in provisions. So you have more than 300 basis points in difference when you consider local and international accounting. Does this clarify the question or if you have another position, I'm happy to provide.
Sergey Dubin: Yes, I mean, partially clarified it, but I still have a question. So what you show on your presentation in Slide 30, basically, these graphs show that BCP stand-alone CET1 is 11.5% and Mibanco CET1 is 16.5%. Do these -- are these numbers that you show calculated according to IFRS or calculated according to Peruvian local standards?
Cesar Rios: No. It's local accounting. It's local standards. So the IFRS number is going to be lower.
Sergey Dubin: Right. So for Peruvian, that's what you show. For IFRS, it would be 11.5%, minus 60 bps. And for Mibanco it would be 16.5% minus 300 bps, correct?
Cesar Rios: Yes, more or less.
Sergey Dubin: Okay. Okay. That's helpful. My second question is on Madoff. Again, this is one of those issues where I'd like to have some more clarity. It looks like you have 79 -- or 71.9% legal contingency. How did this contingency arise? And the Madoff scandal happened 12 years ago. Why are you just showing this now? What's -- can you give some background, some color around this whole issue?
Walter Bayly: Sure. Sergey, I'll tackle the Madoff. This relates to Mr. Picard, who is the court-appointed liquidator and us trying to articulate clawback initiatives against some of the investors, I guess, it's about 400 of them. And recent rulings by the Supreme Court of the United States are not favorable to the utilization of the extra territoriality arguments. So we found it prudent to create provisions just to get over that.
Sergey Dubin: So does it mean that you would do -- just to clarify, does it mean that you will be liable? Like you think that in a worst-case scenario, you could be liable to pay PEN 72 million to this court-appointed trustee for Madoff case? Is that correct?
Walter Bayly: Well, we hope not, but we thought it was prudent to create the provision.
Sergey Dubin: Okay. And I guess it's arose because you advised your clients to put money in Madoff, and then the client is now suing you asking you to make up the difference essentially, right? Is that -- how did that originate in the first place?
Walter Bayly: Yes. No, no, you've got it completely wrong. This is the clawback provisions. Clawback provisions, the concept here is that the court-appointed liquidator is asking people that have had withdrawals from the funds in months or certain short period prior to the whole scandal being blown up. That those people that withdrew funds from this fund did evaluations that did not reflect reality. Therefore, they apply clawbacks, which means you send the money back to the fund, the fund incorporates into the fund and then redistributes to money back. We have long, long time ago settled with our customers and we bought them back. We bought back the investments at a certain negotiated value to them. So our customers have nothing to do with this. And since we bought back the participations in the fund, the clawback applies to us.
Sergey Dubin: Okay. Okay. Now that you said that that's very clear, but before, it was very vague. So now that you clarified it, it's good. Okay. My last question have to do is the -- sorry, the assets under management in your fund management business. You said that it could be something like PEN 3 billion withdrawal. And you just again explain why that is? Is it because of the new legislation that's being passed? Can you just give some more color around that particular issue?
Cesar Rios: Okay. I'll take this. We are talking about Prima. Prima is a private pension fund manager. And there is a new legislation that allows clients to withdraw funds. The estimated amount of the new funds that are going to be withdrawn according to this new legislation is PEN 3 billion.
Sergey Dubin: Okay. And is that, again, is this a worst-case scenario that if everyone who can withdraw choose to withdraw? Or is that your estimate of a realistic scenario, or what...
Cesar Rios: It's our best guess. It's our best estimate. It's our best estimate based on the [indiscernible the previous withdrawal authorization process. It's not the first one.
Sergey Dubin: Got you. And this will be how much of the total AUM? What percentage?
Cesar Rios: It's going to be -- sorry?
Walter Bayly: I think it's about 7%.
Cesar Rios: Around 7%.
Walter Bayly: Sergey, just an additional clarification, please refer to the 20F where all this Madoff stuff is fully disclosed here, and you can get a lot more information there if you need to.
Operator: And now I would like to turn the conference back to Mr. Walter Bayly, Chief Executive Officer, for closing remarks.
Walter Bayly: Thank you, Shantal. Well, thank you to all of you. This has been a very encouraging and important quarter for us. We now have shown the market evidence of what we have been perceiving in the last couple of months, mainly that we are past the inflection point on several fronts. On the health side, the numbers reported are very encouraging, and hopefully, they will continue this way. The economic activity and the second front is coming back to normal levels. On several fronts, we are already there and we estimate that by year-end or the first quarter of next year at the latest, we will be substantially on pre-COVID levels on a monthly basis. The third and last inflection point refers to the impact of this very severe downturn in our portfolio. The numbers we have shown for this last quarter clearly indicate this inflection point, and we continue to see improvements week by week. We are emerging from the most severe economic crisis in the last 100 years. And we think it is unrealistic to expect the situation to get normalized in 1 or 2 quarters. The recovery path is laid out. And as we have indicated, our guidelines -- in our guidelines, we expect to be back to returns on equity in the high teens in the second half of 2022. Our franchises continue to be strong. The path to change and evolve our business models and distribution to digital technologies has accelerated and continues to be a key element of our strategy. We thank you very much for your continued support. And with this, I conclude our quarterly phone call. Thank you very much.
Operator: Thank you very much, ladies and gentlemen. This now concludes today's presentation. You may now disconnect your phones, and have a great weekend. Thank you.